Operator: Good day, and thank you for standing by. Welcome to the Biodesix, Inc. Fourth Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a question during the session, you will need to press *11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press *11 again. Please be advised that I would now like to hand the conference over to your first speaker today, Christopher Brinzey. Please go ahead.
Christopher Brinzey: Thank you, operator, and good afternoon, everyone. Today, Biodesix, Inc. released results from the fourth quarter and fiscal year of 2025. Leading the call today will be Scott Hutton, Chief Executive Officer. He is joined by Robin Harper Cowie, Chief Financial Officer. An audio recording of today's call and the press release announcement with the quarterly results can be found in the Investor Relations section of the company's website at biodesix.com. As today's call includes forward-looking statements, we encourage you to review the statements contained in today's press release, and the risks and uncertainties described in our SEC filings, which identify certain factors that may cause the company's actual events, performance, and results to differ materially from those contained in the forward-looking statements made on today's webcast. In addition, we will discuss non-GAAP financial measures on this call. Descriptions of these non-GAAP financial measures and reconciliations of GAAP to non-GAAP financial measures are included in today's press release. I would now like to turn the call over to Scott Hutton, Chief Executive Officer. Scott?
Scott Hutton: Thank you, Chris, and thank you all for joining today. At Biodesix, Inc., our mission is to transform patient care and improve outcomes through personalized diagnostics that are timely, accessible, and address immediate clinical needs. We leverage a multimodal approach that includes genomics, proteomics, and radiomics combined with AI to discover, develop, and commercialize innovative diagnostic tests for physicians, biopharmaceutical, life sciences, and diagnostic companies to help improve patient care. In 2025 and 2026, we are focused on three main goals: growing top-line revenue, improving organizational effectiveness and operational leverage, and advancing our pipeline for future commercial growth and expansion. In the fourth quarter, we made progress on all three goals. Our top-line growth accelerated with revenue up 41%, we improved upon already strong gross margins by 400 basis points to 83%, we achieved adjusted EBITDA positivity, and we presented real-world clinical data that continues to support the use of our on-market tests and demonstrates the potential of our product pipeline. Starting with our clinical offerings in lung diagnostics, our major focus remains on lung nodule management, where nodules are either found during low-dose CT screening for lung cancer, or incidentally when the patient has an image taken for another medical purpose. We have implemented a three-tiered commercial strategy focused on improving the management of patients with lung nodules, through the use of our on-market tests. This strategy started at the launch of Nodify Lung testing with interventional pulmonologists, who are typically responsible for diagnosing lung cancer. We then expanded into their referral network in general and community pulmonology. In 2025, we selectively expanded further into the primary care referral network, allowing us to access the remaining 50% of the available nodule market being managed by those physicians. This approach enhances the value of Nodify Lung testing by first helping general pulmonologists and primary care providers triage patients by risk of malignancy, and deciding who should be referred for intervention or managed locally by surveillance, then helping interventionists prioritize higher-risk patients for prompt diagnostic intervention. We continue to see a positive response from our customers with this expanded sales strategy, resulting in strong growth from both pulmonology and primary care. In the fourth quarter, volumes from primary care accounted for 12% of the total Nodify tests, growing 67% over 2024, and volumes from pulmonology growing 26%. In total for the fourth quarter, we had 97 sales representatives active in the field delivering 18,000 tests, or 23% growth. In our last earnings call, we told you about a recent webinar from Dr. Susan Garwood, the National Physician Director for the Pulmonology Service Line at HCA, the largest hospital system in the U.S. Dr. Garwood detailed her experience and successes with implementing Nodify testing in her referring primary care network. This experience is replicating across the country, with Nodify testing being utilized to help health systems identify cancers earlier, and manage the sheer volume of patients with lung nodules through better triaging for either intervention or monitoring. In addition to growth in testing volumes, we continued to see improvements in average revenue per test that started to pick up in the third quarter. This is a result of our market access and revenue cycle management teams delivering additional coverage policies and improved claims collection, particularly for Nodify XL2 and Nodify CDT. On the development services front, we continue to see increasing interest in our distinctive offerings where we leverage our multi-omic approach and R&D expertise to help deliver insights that our biopharma, life science tools, and diagnostic partners use to personalize patient care, and help improve disease detection and treatment decisions across various disease types. We announced two major partnerships to develop and validate tests as a center of excellence for Thermo Fisher Scientific and, separately, with Bio-Rad Laboratories. These partnerships are an important recognition of the strength and breadth of capabilities in our team to deliver high-quality and rapid results for our partners. In December, at the Association for Molecular Pathology, or AMP, annual meeting, we were joined by collaborators from Memorial Sloan Kettering Cancer Center, Thermo Fisher, and Bio-Rad to present on these key partnerships and provide insights into portions of our product development pipeline. Today, our development pipeline consists of a unique MRD test that combines the proteomic information from our proprietary risk of recurrence test that provides insights into a patient's immune profile, along with tumor-informed genomics that leverages the high sensitivity and specificity of multiplex droplet digital PCR for disease monitoring. It also includes expansion of the VeriStrat test into immunotherapy selection in several new tumor types, including colorectal cancer, as well as another expansion of the VeriStrat test for prostate cancer predicting the likelihood of response to standard-of-care hormone therapy. We also have a new ESR1 genomic test, which is available to help guide treatment in breast cancer. And lastly, AI-based digital diagnostics that will initially supplement our current on-market tests in lung disease. You will hear more about the new AI-based digital diagnostic test offering in the coming quarters. Throughout the course of 2025, we continued to generate, present, and publish real-world clinical and health economics data for our on-market and pipeline products in order to help drive the adoption of our tests by health care systems, health care providers, and payers, published new clinical data, and had multiple data presentations at a variety of physician society meetings. Our efforts were supplemented by data presentations from our partners and by a number of independent clinicians publishing on their own data on the real-world use of our tests. To summarize, we finished 2025 strong, with excellent fourth quarter performance, including accelerated revenue growth to 41%, delivered 83% gross margins, which are the strongest in advanced diagnostics, recognized significant improvements in reimbursement, achieved adjusted EBITDA positivity, generated strong clinical and real-world evidence for our on-market and pipeline products, announced additional key development partnerships, and increased the number of services contracts and customers utilizing our offerings. With that, let me turn it over to Robin to review our financial performance and provide initial 2026 guidance. Robin?
Robin Cowie: Thanks, Scott, and good afternoon, everyone. Total revenue was $28.8 million and $88.5 million for the fourth quarter and fiscal 2025, an increase of 4,124% over the respective prior year periods. Lung diagnostics revenue of $25.1 million and $79.2 million for the fourth quarter and fiscal 2025, an increase of 4,622% over the respective prior year periods. Lung diagnostics revenue, excluding claims older than one year, was $24.1 million, representing core organic growth of 40% over the prior year comparable period. The overall increase in lung diagnostics revenue was driven by growth in test volumes and an increase in average revenue per test. Test volumes were 18,000 and 62,600, growth of 2,315%, respectively. The increase in average revenue per test was driven by the advancements in reimbursement that began in the third quarter from improvements in payer coverage and revenue cycle management and approximately $1.0 million in collections from claims older than one year. Development services revenue of $3.6 million and $9.3 million for the fourth quarter and fiscal 2025 was an increase of 1,241%, respectively, and was a result of both delivering against our book of contracted business and securing new agreements. Following a strong finish and the highest revenue of any quarter in 2025, we finished the year with $11.8 million of contracted business going into 2026. Our gross margin percentage was 83% for the fourth quarter and 81% for fiscal 2025, a 400 basis point and 300 basis point improvement, respectively. The ongoing improvement was driven by growth in lung diagnostic testing, improvements in average revenue per test, and optimization of testing workflows that resulted in decreases in average cost per test. Gross margins continue to be a hallmark of Biodesix, Inc.'s performance and operational excellence, and we expect them to remain near 80% throughout 2026. Overall operating expenses, excluding direct costs and expenses, were $25.8 million and $99.7 million for the fourth quarter and fiscal 2025, an increase of 1,410%, respectively. Sales and marketing investment increased 14% to support the 40% core organic lung diagnostic revenue growth in the quarter. Total SG&A was $23.0 million and $87.5 million for 2025, a 149% increase, respectively. Growth in SG&A was primarily driven by the expansion of our sales force from an average of 65 reps in the field in the first quarter to an average of 97 active in the field in the fourth quarter. In 2026, we plan to add approximately six reps per quarter as we continue to build out our commercial structure to drive growth through increased market penetration. We expect continued operating leverage as the recently expanded sales team gains tenure and experience selling the Biodesix tests. R&D expense was $2.9 million and $12.0 million, a 1,926% increase over the prior year. R&D reflects the investments in clinical studies to help advance adoption of our lung diagnostic tests as well as advancement of our pipeline. Net loss was $4.0 million and $35.3 million for the fourth quarter and fiscal year, an improvement of 5,218% over the prior year period. Adjusted EBITDA, which excludes non-cash and other one-time items, was a positive $530,000 for the quarter. That was an improvement of 113% over 2024 and is the company's first ever positive adjusted EBITDA quarter. This milestone reflects strong revenue flow-through and operating leverage across the organization. Adjusted EBITDA for the year was a loss of $17.5 million and improved 21% over 2024. Pro forma cash and cash equivalents is $33.7 million, including subsequent at-the-market proceeds supported by our first quarter of adjusted EBITDA positivity, which positions us to reduce quarterly cash consumption as revenue scales. We ended the quarter with $19.0 million in unrestricted cash and cash equivalents, which was an increase of 14% over the third quarter, including $2.3 million in at-the-market proceeds. Subsequent to the end of the quarter, an additional $14.7 million in at-the-market proceeds were raised, and we amended our senior secured term loan with Perceptive Advisors to extend the maturity date and interest-only period to November 2028. The extension and additional cash strengthen the balance sheet and provide increased flexibility for the organization. Turning to guidance for 2026, we expect to deliver $106.0 million to $112.0 million in annual revenue, the midpoint of which represents 23% annual growth over 2025, and expect continued improvement towards sustained adjusted EBITDA positivity. The revenue growth and improvement on the path to profitability is expected to be driven by increased tenure and experience of the recently expanded sales force, increases in average revenue per test demonstrated in 2025, additional clinical data on the Nodify Lung tests to help drive adoption from health care providers and payers, increase in the development services pipeline, and the demonstrated operational leverage. We do want to acknowledge the recent weather events and seasonality historically seen in the first quarter, which has been considered in the guidance range provided today. Now I will turn it back to Scott for some closing thoughts before the Q&A.
Scott Hutton: Thank you, Robin. In closing, I want to thank every member of the Biodesix, Inc. team for your unwavering commitment to our mission, the health care professionals we serve, and the patients they treat. Our culture is not just aspirational. It is operational. It shows up in disciplined execution, how we serve health care providers, and in how we build trusted industry partnerships. 2025 demonstrated the strength of our strategy and the resilience of our model. As adoption expands and awareness grows, we continue to deliver clinical value, strengthen customer relationships, and drive scalable, durable growth. We remain focused on operational discipline, capital efficiency, and expanding our impact in lung cancer care. The opportunity in front of us is significant. Our team, culture, differentiated test portfolio, and disciplined execution create sustainable long-term value for health care professionals, patients, and shareholders alike. We are operating from a position of increasing strength and remain confident in our ability to execute against the significant long-term opportunity. Thank you to our team, our customers, our partners, and our investors for your continued trust. We are building a high-performance organization designed to deliver meaningful impact and sustained value, quarter after quarter, year after year. We will now open for questions. Operator, let's start with the Q&A session.
Operator: Thank you. As a reminder, to ask a question, please press *11 on your telephone and wait for your name to be announced. To withdraw your question, please press *11 again. Our first question comes from Kyle Mikson of Canaccord Genuity. Your line is open.
Kyle Mikson: Hey, guys. Thanks for the questions. Congrats on a great year. I want to go back to the first quarter comments and just trying to understand how much of a step down we should expect with the revenue and volume relative to the fourth quarter because, you know, there was a little bit of a flush, maybe some revenue that was from prior periods or pulled forward in the fourth. If you could talk about how we should think about the step down for volume and then pricing, and especially given the deductible dynamics and then the weather too. I mean, I know you referenced that, but there have obviously been some storms in the Northeast and other places, so it would be helpful to understand that. Thanks.
Robin Cowie: Thanks, Kyle. It is a great question. Yes, there is a lot of dynamics at play here, and the weather disruption across the country and most recently in the Northeast absolutely is a consideration for us. And you are right. We did have some increased collections in the fourth quarter, about $1.0 million of collections from claims over one year. So when we are looking at the first quarter versus fourth quarter, I would encourage everyone to compare it to the revenues excluding that $1.0 million. In the first quarter, we usually always see a step down in ASP, and we expect that similar step down that we have seen in prior years, same with the volume. So we are anticipating that the volume dynamics and the ASP dynamics are consistent with our historic seasonality.
Kyle Mikson: Alright. Great. Thanks for that. And maybe just one on pipeline as well. I think I heard, Scott, you were mentioning and going into some detail about some of the tests. Could you maybe just, if there is something you had not already shared on the call, talk a little bit more and elaborate on those new tests, what you are developing, what you aim to launch in the next, you know, 12 to 18 months, let us say. And ultimately, what are you the most excited about in the, you know, future portfolio for the company?
Scott Hutton: Yeah. Thanks, Kyle. Great question. You may recall at AMP, Dr. Gary Pastano led an R&D day representing Biodesix, Inc., where we had other participants from Bio-Rad, Thermo Fisher, and Memorial Sloan Kettering. We are planning on providing another R&D update this year where Gary and that team will have an ability to highlight the progress that has been made since that last meeting. In your question, we are not planning on commercializing any of those within the next 12 months. We are very mindful that we have laser focus on our march towards profitability, and we do not want to launch any no-pay tests. We want to be very mindful of reimbursement, reimbursement timing, and the appropriate studies that will help put us in a positive reimbursement position. We will continue to give other updates as to what the opportunities look like for those tests. And when you ask the question of what excites me most, I think it is really about highlighting what our development team is capable of, has done in the past, and will do in the future. We think the world of our team, and it is about time that others start to see what they are able to deliver. And so we are eager to give Gary and team an opportunity to do so.
Kyle Mikson: Alright. And finally, on the primary care kind of rep cohort that you have been building, I think now almost all of them are probably up to speed and mature and, you know, kind of full productivity at this point. Given they have had this time to ramp, what are the approximate volumes that are accounted for by that rep base, by the primary care rep base? Is it above the 11% that you saw in the third quarter? And how do you feel about that mix as you look throughout 2026? You had the proving ground in 2025, and now 2026 is the year that will pay dividends, I guess.
Scott Hutton: Yeah. It is a great question. We continue to see the primary care focus perform and deliver. It grew over the 11% that you referenced up to 12% of total Nodify orders coming out of primary care. We expect that to continue to grow as we scale. You referenced some of our sales professionals. I was honored to be in San Antonio, Texas this week with our sales team as we kicked off our 2026 national sales meeting, and I can tell you sitting both with our pulmonology-focused and primary care-focused sales teams, they both feel strongly and feel confident about their ability to continue to grow, and they are eager to do so. And so we will continue to provide highlights there. But as we look at adding approximately 24 sales reps again this year in 2026, we think we can continue to grow and scale across the board. So we will give updates on a quarterly basis, but we see both teams thriving right now. We are proud of them. We also think it speaks volumes about the opportunity and our ability to address more of that market by going into PCP. And just as a reminder, again, this is not about us calling on every primary care physician. This is about us building relationships within pulmonology, better understanding their referral network and patterns, and working through them to reach those primary care physicians so that we can increase the opportunity to diagnose and detect cancers earlier, and we feel confident that in doing so, we will see a stage shift over time.
Kyle Mikson: Awesome. Okay. Thanks, Scott. Thanks, Robin. Appreciate it.
Scott Hutton: Thanks, Kyle. Thank you.
Operator: And our next question comes from William Ruby of TD Cowen. Your line is open.
William Ruby: Hi. Thanks for the questions. First question is, you reached adjusted EBITDA positivity in the quarter, and you tapped into your ATM and are sitting pro forma with $33.7 million in cash. Just wondering if you feel well positioned now from a cash perspective and if you see any need for additional cushion in 2026, and I will follow up as well.
Robin Cowie: Thanks, William. Appreciate the questions. We feel very good about the cash position. We not only showed the operational improvements, strong gross margin improvement that helped contribute to our operating leverage for the quarter, but then also, adding the extra cash opportunistically through the ATM really strengthened the balance sheet and gives us flexibility going forward. So, yes, we feel very good about where we are from a cash perspective.
William Ruby: Gotcha. And then also just on the guide, it came in above the Street. Just wondering what you see as some of the most likely upside levers this year to guidance.
Robin Cowie: Yeah. We think we have a couple upside levers. We have a sales organization that is gaining in tenure and experience out in the field. We hired quite a few sales team members really in the last part of the year, and so they are really just getting their feet under them and, for most of the org or a larger portion of the organization, this will be their first full year in the field. So we think we have got opportunity for increased rep productivity from a test perspective, continuing the ASP stability and growth that we saw in the second half of last year, not to mention the increased excitement about our development portfolio and what we are able to offer to partners. So we think we have opportunities to grow both portions of the business, and, really, it is volume, ASP, and development services funnel.
William Ruby: Gotcha. Can I just ask one more, actually? I think you mentioned on the Q1 call, and I think Scott mentioned earlier, and Susan Garwood's presentation mentioned as well, that she seemed to see some stage shift by referring through primary care. Just wondering if you have seen any additional evidence of shifting stage and if you would even potentially want to do real-world studies to demonstrate this effect for shifting stage earlier.
Scott Hutton: Yeah. Thanks, William. It is a great question. We have. The way it usually transpires is physicians will share with us what they are seeing, some of their performance. We have encouraged those individual physicians and sites to publish that data. So it is a little bit out of our control, but we encourage them to do that because we think that will send a very powerful message because it is not company-sponsored. We are talking about that. Whether we are able to achieve that through Clarify or not, we will continue to investigate and explore options to do so. But most importantly, we want to encourage those physicians that are seeing the positive impact of utilizing Nodify testing. We want to see them share that data. And it is not really about promotion. It is about awareness. And if we can increase more awareness, we think we will have greater compliance. We think patients will be interested in receiving the testing. So will physicians, and they will allow that to guide them. But as we know, we are in lung cancer; we are dealing with the deadliest cancer. So any material impact in shifting stage of diagnosis is going to be meaningful in overall long-term survival. Thank you very much. Thanks, William.
Operator: Thank you. And our next question comes from Andrew Brackmann of William Blair. Your line is open.
Andrew Brackmann: Hey Scott, hey Robin, good afternoon. Thanks for taking the question. Maybe I will pick up on that last question there, sort of around the data readouts that you expect. I think you have been making some good progress on Clarify over the last couple of quarters. So anything new to share there on when we should maybe expect some of that data to read out? And then on Alta, too, just an update on potential readout for that study as well. Thanks. Perfect. Thanks for all that color. And then I want to go back to the sort of the different channels here, primary care being one of them. And thanks for all that color that you gave on the mix and growth within the different channels. Can you maybe just talk about what you are seeing in the field in terms of these efforts being complementary to each other as opposed to maybe cannibalistic? Thanks.
Scott Hutton: Yeah. Thanks, Andrew. Great questions. With Clarify, we are going to continue to look at different interim analyses and kind of subgroups, if you will. With Clarify, we are not going to wait for CHEST, so we will continue to submit those abstracts and papers to different journals. We do not feel the need to wait. We think it is more important to get that data out there. We have submitted some here recently, and so we will keep you updated as we receive word back on their acceptance and then publication timing. But, again, that is real-world data. It is very exciting for us to get that out there and demonstrate how physicians are utilizing the test, how it is performing, and the impact it is making. In regards to ALTITUDE, you may recall that we stopped enrolling ALTITUDE, and now we just have to monitor those patients for a minimum of a year, and then up to two years. So for 2026, we will not hit the one-year endpoint until the third quarter. So what that means is we will miss the CHEST submission timing for 2026. So at the earliest, we will see any data out of ALTITUDE at some point in time in 2027. It is a great question. It is one of the reasons why we highlight that we start by building a strong relationship within pulmonology. We know that pulmonologists are responsible for diagnosing lung cancer. We also know that they are stressed. There is significant burden there. There are lengthy wait times in their clinics. Their practices are filling up more and more. And so if you take kind of that needle-in-the-haystack approach, anything that we can do to help them enrich the patients that they are seeing, increasing the likelihood that they are spending time with the highest-risk patients—those with the highest likelihood of lung cancer—then we know that they will have a greater impact. That, in and of itself, is what this is about. Those pulmonologists, and we referenced Dr. Susan Garwood, using her as an example, one of the reasons why they really see the value in promoting and pushing Nodify testing out into their referral network is so that a positive CDT is referred on quickly and pulled to the front of the line. And on the other extreme, somebody that is positive for Nodify XL2—meaning that they can sit back and take a wait-and-watch approach supported with CT surveillance on an annual basis—those patients are not referred in to a pulmonologist because they just block or take up an available slot for a high-risk patient. So we continue to see a number of those on a weekly and monthly basis. Those positive stories really reinforce that not only was it the right strategic decision, but that we continue to have success. And then internally, we have talked a lot about having 50 sales territories and having a squad or team approach within the field. And I referenced being at our national sales meeting. What I saw was a team that is heavily motivated and focused on the team. There is lots of collaboration. There is sharing of best practices. And they are excited to positively impact patients first and foremost. And so we are seeing it work exceptionally well, and we continue to anticipate broader adoption as we progress through 2026.
Andrew Brackmann: Very helpful. Appreciate all the color.
Scott Hutton: Thanks, Andrew.
Operator: Thank you. And our next question comes from Thomas Flaten of Lake Street Capital Markets. Your line is open.
Thomas Flaten: Great. Good afternoon, guys. Thanks for taking the questions. Just kind of teeing off the last question there. So when you think about the additions you are making to the sales force in 2026, can you just help us understand what that allocation is going to be between PCP and pulmonology?
Scott Hutton: Yeah. Thanks, Thomas. We have not disclosed that. And one of the things that we pride ourselves on is being agile and being able to adapt. And so what really will lead us to hiring one or the other is current performance today. As we continue to grow and scale, we want to take a need-based approach. We do not want to be too prescriptive. We have got some territories that are very mature. We have had great success in penetrating that market for a lengthy period of time. Those are going to be the teams or squads where you have got great representation of the different specialization and call-point focus. We still have some territories that are newer or earlier in that maturation. And so that mix, based upon performance, will guide us, and we will give you guys updates as we make those hires. But right now, we are really focused on the majority being a blend of associate sales professionals and primary care-focused sales professionals.
Thomas Flaten: And maybe just playing that out, you probably will not be able to share anything quantitative—maybe qualitative. How do you see the differential growth rates through 2026 between the two channels? And then just a quick one. Any insight to share on the HEDIS guidelines?
Scott Hutton: Yeah. Again, I cannot really be that prescriptive because we do not know exactly where we will be focused on hiring and when. We just know there is a massive opportunity ahead. We are barely scratching the surface in this addressable market on both the primary care and the pulmonology front. So we see growth opportunities across the board in both. But reminding everybody, reimbursement is the same. In this patient population, we are still focused on patients that are of Medicare age predominantly. So we have got a pretty well-defined reimbursement path and trajectory. For us, it does not really matter where it is coming out of. It just matters that we are getting to more and more patients on a quarterly basis. Oh, yeah. Nothing new on HEDIS. I think it was September timeframe of last year that they stated that they would not provide the update for 2025. We are eager to see what they say here in 2026. We know that the problem is not going away. The challenge still will remain. And we know that once they make those statements, it will create a different change that then we are able to facilitate. We have referenced the example in breast cancer historically. We are eager and supportive of this. It will benefit us and help. But most importantly, it will impact those patients that need to get screening earlier and get into this queue so that we can see earlier detection and diagnosis. When it comes to HEDIS and guidelines, no material updates. Both parties just continue to state that they will continue to prioritize it and provide updates in 2026. Thank you.
Operator: Thank you.
Operator: And our next question comes from John Wilkin of Craig-Hallum. Your line is open.
John Wilkin: Congrats on the EBITDA milestone in Q4. Wanted to touch a little bit more on sales rep productivity. Are you able to parse out at all—so you added around 8,000 tests for the year—are you able to parse out how much of that growth came from the new reps you hired within the year versus your existing sales force?
Robin Cowie: Yeah. Absolutely. We track everything very, very closely. The important thing to remember is the majority of the new reps were hired later in the year, so a lot of the growth that we saw came from our existing reps. Of course, we saw growth from the new reps, so it was pretty balanced. But where we really expect to see growth from the new reps is in 2026, as they have a full year in the field and more time and more experience selling the tests.
John Wilkin: Got it. And then, to the extent that you are able to quantify—thinking about reps that were maybe hired earlier in 2025, are you able to give us any sense of how productive those were by year-end? Just to give us a sense of how long it has been taking recently for newly added reps to ramp?
Robin Cowie: Yeah. We have been very, very pleased with the caliber of reps that have been hired and brought in. We historically have seen that it takes two to three months for a rep to pay for themselves, and that has continued with the new batch of reps. We have been very consistent there, but it is important to note that is not the end of the ramp. That is really just the beginning. And so we see reps continue to ramp not just in their first year, but ongoing. As I stated, we continue to see growth from existing reps and some who have been here for a couple of years. So the growth trajectory is there. We are seeing it, and there is huge opportunity for every rep in our field.
John Wilkin: Perfect. Thank you so much.
Scott Hutton: Thanks, John.
Operator: Thank you. This concludes our question-and-answer session and today's conference call. Thank you for participating, and you may now disconnect.